Operator: Greetings. Welcome to the Simon Property Group Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Tom Ward, Senior Vice President, Investor Relations. Thank you, you may begin.
Tom Ward: Thank you, Sheri. And thank you for joining us this evening. Presenting on today's call is David Simon, Chairman, Chief Executive Officer and President. Also on the call are Brian McDade, Chief Financial Officer, and Adam Reuille, Chief Accounting Officer. A quick reminder that statements made during this call may be deemed forward-looking statements within the meaning of the safe harbor of the Private Securities Litigation Reform Act of 1995 and actual results may differ materially due to variety of risks, uncertainties, and other factors. We refer you to today's press release and our SEC filings for a detailed discussion of the risk factors relating to those forward-looking statements. Please note that this call includes information that maybe accurate only as of today's date. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included within the press release and the supplemental information in today's Form 8-K filing. Both the press release and the supplemental information are available on our IR website at investors.simon.com. Our conference call this evening will be limited to one hour. For those who would like to participate in the question-and-answer session, we ask that you to please respect our request to limit yourself to one question. I'm pleased to introduce David Simon.
David Simon: Good evening. And I'm pleased to report our third-quarter results. Third quarter funds from operation were $1.2 billion or $3.20 per share. Let me walk you through some of the highlights for this quarter. Compared to the same quarter of 2022, domestic and international operations had a very good performance this quarter, and contributed $0.17 of growth, primarily driven by higher rental income. Non-cash after-tax gain -- gains of $0.32 in the third quarter were related to the partial sale of our ownership interest in SPARC and ABG as a result of ABG selling primary shares in the quarter. Higher interest expense was a setback of $0.07 year-over-year. We had a $0.15 lower contribution from our other property investment platform compared to Q3 2022, and a $0.02 loss on mark-to-market of publicly traded securities. FFO from our real estate business was $2.91 per share in the third quarter compared to $2.83 in the prior period last year. So far, our real estate has produced $8.55 per share for the first nine months compared to $8.40 from last year. We are pleased with the transaction SPARC completed with SHEIN during the third quarter that demonstrated the value that we have created in that business. The transaction was significantly above our basis. And as a result, we recognized a gain in the corner. And the transaction ultimately reduced our ownership interest in SPARC from 50% to 33% as we have managed SHEIN as a partner. Given our lower ownership interest in the back-end weighting profitability in the fourth quarter, we now expect $0.05 lower FFO contribution from SPARC in the fourth quarter of this year. During the third quarter, the Taubman family exercised their put right on a portion of their interest in TRG. We exchange 1.725 million partnership interest units for an additional 4% ownership interest. We now own 84% of TRG. Domestic property NOI increased 4.2% year-over-year for the quarter and 3.8% for the first nine months. Portfolio NOI, which includes our international properties at constant currency, grew 4.3% for the quarter and 4% for the first nine months of the year. Mall and outlet occupancy at the end of the third quarter was 95.2%, an increase of 70 basis points compared to last year. Our third quarter occupancy is higher than fourth quarter of last year, which has not occurred historically. The mill's occupancy was 97.4%, and occupancy is above all year-end 2019 levels for all of our platforms. Average base minimum rent for malls and outlets increased 2.9% year-over-year and the mills was 3.6% year-over-year. Leasing momentum continues across our portfolio. We signed more than 970 leases for approximately $4.3 million square feet in the quarter. Through the first nine months of 2023, we signed more than 3,500 leases for 15 million square feet, which is expected to generate over $1 billion of revenue. We have an additional 1,100 deals in our pipeline, including renewals for another $400 million in revenue. We are seeing strong broad-based demand from retail community, including continued strength for many categories. Reported retail sales per square foot in the third quarter was $744 for the mills and outlets combined and $676 for mills. We continue to be active in redevelopment and new development. During the quarter, we started construction on a significant redevelopment at Brea Mall, and a new upscale outlet center in Jakarta, our first Premium Outlet in Indonesia. We completed the refinancing of 11 property mortgages during the first nine months of the year for a total of $960 million at an average rate of 6%. We have -- our balance sheet is strong with approximately $8.8 billion of liquidity. Today, we announced a dividend of $1.90 per share for the fourth quarter, which is a year-over-year increase of 5.6%. The dividend is payable on December 29th. And we also purchased approximately 1.27 million shares of our common stock for $140 million. We are increasing our full-year 2023 guidance from $11.85 to $11.95, to $12.15 to $12.25 per share. This is an increase of $0.30 at the midpoint. So to conclude, I'm pleased with our third-quarter results. Our business is performing well and is ahead of our plan. Tenant demand is strong. Occupancy is increasing. Base minimum rent levels are at record levels. And we are very experienced at managing our business through volatile periods of time. And as you all know, this is when we do some of our best work. So, we're now ready for your questions.
Operator: [Operator Instructions] Our first question is from Ron Kamdem with Morgan Stanley. Please proceed.
Ron Kamdem: Great. Thanks so much. Just one on some of the guideposts you've given in the past. As we're flipping the calendar to 2024, you talked about sort of 3% organic growth as achievable. Just wondering how you're thinking about that and how we should think about potential interest costs, headwinds as debt sort of rolls? Thanks.
David Simon: Sure. Look, I think we feel good about that kind of comparable NOI growth. Our debt is reasonably laddered. So yes, we'll have some interest expense headwinds, but we still think we'll end up growing our business next year with that said.
Ron Kamdem: Great. Thank you.
David Simon: Go ahead, Ron.
Ron Kamdem: I was just going to say if I could ask a follow up just on the $0.30 cent guidance raise. I think you talked about $0.32 cent gain and then $0.05 cents lower from the retailers. Just wondering is there any other sort of puts and takes that we should be mindful of? Thanks.
David Simon: Sure. No, we're going to have $0.05 lower because of the SPARC-SHEIN deal. We lost a couple of cents from our mark to market on a couple of our public securities that we own last quarter. And essentially the real estate business has been very significant to our growth and we'll kind of see where the fourth quarter ends up but I think it's -- 97% of our business is going to outperform what we thought from originally what we had budgeted.
Ron Kamdem: Thank you.
David Simon: Sure.
Operator: Our next question is from Caitlin Burrows with Goldman Sachs. Please proceed.
Caitlin Burrows: Hi, good evening everyone. David, I know you gave some numbers on recent leasing activity which sounds really strong. I was wondering if you could give some additional context maybe to how that leasing activity compares to recent and pre-pandemic years, maybe what that means for pricing and how that could impact permanent occupancy?
David Simon: Well, thank you, Caitlin. So I would say, let me try and address your questions in no particular word. I think we'll be, year-end occupancy will be obviously higher than it is today. I don't know that it will be our highest ever, but it it'll be within distance pretty close. Even with all the volatility in the world and the market, we still expect -- we still see demand very strong. I mean, we're -- frankly, we're cautious, we're waiting for shoes to drop, but we haven't seen it on our new deals, whether it's F&B, entertainment, high-end luxury tenants, athleisure, just to name some categories. We're seeing -- we're still seeing a lot of demand on that front. And I would say from a pricing element, we feel -- I would say we feel comparable to the way we felt in ‘15, ‘16, ‘17 era, in terms of era. I guess that was almost seven, eight years ago, but lots happened over those seven or eight years. But we still feel like that's kind of -- we're in that good shape where we're driving rents up and it's okay for the retailers. They're making deals and supplying demands in our favor. Obviously we cycled through a lot of poor performing retailers due to COVID. And the ones that we are doing new deals with are excited to do business with us. So pricing is for sure going in the right direction. Occupancy is going up. And tenant demand is pretty strong across the whole spectrum. And even in certain categories, just to take luxury, yes, there are some that are being more cautious, but there's plenty that are growing new stores. So it's really retail specific. Obviously bricks and mortar through the pandemic to today has proven its value to retailers. I'm sure you hear that on the conference calls from retailers. So in that sense, we're making a lot of good stuff happen. Brian, did you have something on the occupancy?
Brian McDade: I was just going to say we continue to see about 30% of our deals being new deals in the quarter. So that's consistent with the prior quarter as well. So there is definitely lots of activity on a new deal basis.
Caitlin Burrows: Great, sounds encouraging. Thanks.
David Simon: Thank you.
Operator: Our next question is from Samir Khanal with Evercore ISI. Please proceed.
Samir Khanal: Good evening, everyone. David, maybe provide color on how your malls are performing versus outlets, maybe from a regional standpoint, coastal, non-coastal, Sun Belt, just trying to see if there's any differences from a leasing standpoint? Thanks.
David Simon: Sure. It's interesting. I would say we're seeing pretty good tenant sales growth on the tourism properties, whether they're outlet or malls. Now, the most of our pure tourist properties are really the outlet centers, and we're seeing good growth in that category. Traffic, generally, is slightly above last year, still slightly below ‘19, but obviously conversions way up because our sales are on a per square foot basis are much higher than ‘19. I would say generally whether mall or outlet, the Sun Belt area has produced pretty good results in terms of sales year-to-date. We saw actually a decent pickup in California which was encouraging, but really good growth in a Woodbury Common that is finally getting the tourism back to where it is. And, [Prairie] (ph) has been strong in the outlet business. There's no question people are looking for a little more value or maybe they're looking for a lot more value given the higher inflation that the consumers had to deal with. Not a huge bifurcation between malls and outlets. It's very property specific. The different -- as you know, we reported flat sales basically quarter-over-quarter and there's no real difference between outlets and malls in that number. Luxury probably, well didn't probably, it did flatten out in the third quarter of this year for sure, but it wasn't across the board. It was more a couple specific retailers had a tough Q3, others were up. So it was really retailer-specific. Jewelry, malls may have a little more exposure to jewelry. So that was a category that took a little more on the chin. Yet some of our higher end retailers in the jewelry category performed well. So it was basically not a real trend. I'd say the most important thing to come away with is that the Sun Belt continues to perform well and we're seeing the tourist centers kind of make a nice comeback. They've been lagging a little bit more than the others over time, and a little bit of flatlining in the luxury category. Tom, Brian, anything you want to add?
Brian McDade: No, I think you covered it, David.
David Simon: Okay. Thank you.
Operator: Our next question is from Alexander Goldfarb with Piper Sandler. Please proceed.
Alexander Goldfarb: Hey, good evening. Good evening out there, David. So I'll do one question and I'll hold the follow-up. As you guys gain leverage with the tenants, are you seeing tangible ability to get more favorable terms? One of the issues with retail over time has been the tenants, especially the larger tenants or the more anchorage or more fashion, like the hot tenants of the day are driving lease terms traditionally. Curious if you're seeing a change in that which would translate to an ability to accelerate rent growth, NOI growth, et cetera.
David Simon: Well, we don't have -- I mean, thank you for the question, Alex. We're not that far away. You always say out here, we're really not that far away. But put that aside, it's not a question of leverage over the retailers. I think what we have going for us is a great diverse portfolio. It's the best in the industry from mills to our outlets to our full price malls. And that's unique, its size, its scale, its quality that we’ve built up over many, many years. And as you remember, I don't think it was last quarter, maybe it was, Tom, but when we went through the transformation of the portfolio, was it last quarter? So we've done a lot to try to improve the quality of the portfolio. And I would say that obviously there's not a lot of new retail being built. There's not a lot of retailers closing stores and -- or going bankrupt. And I think most retailers today know kind of the good malls and the good properties versus the not so good. And when you add that up, supply and demand is in our favor and we're generating market rents. It's neither here nor there. But importantly, and I think I'd like to address this with you is that, and again, I'm sure retailers have different point of view, but I think the most interesting fact, or the most interesting thing that we have going for us in addition to the quality, diversity, et cetera, that I mentioned, they know we're going to be around. So -- and they know that we'll stick to a deal, we'll make it happen. When we say we're going to redevelop something, we do it. And I think that when there are open to buys, we tend to get our fair share of those or more than because of some of the factors that I mentioned, quality, scale, but also the fact that they know we're going to get the job done. And obviously there's been a lot of changes in mall ownership over the years. Balance sheet and quality of operations is a two-way street. It's both. As we look at retailers, we assess that. They certainly assess us. And I think that gives us an advantage that we've worked very hard, as you know, to achieve and, I mean, how do I say this? I mean, we've really outpaced our peer group dramatically in any measure you want, growth, earnings, dividend, quality of operations, scale, balance sheet, the -- I know we all focus quarter to quarter and this and that, but if you take a step back and you go, what do you got going for you? And again, we don't -- this sounds a little braggadocious. I don't want it to, but I mean, we've really outpaced, if you look over the last 10 -- 5, 10, 15, 20, 25 years, you know, we've dramatically outpaced our peer group.
Alexander Goldfarb: Thank you.
David Simon: Thank you. No follow-up. I stumped you. I love it.
Operator: Our next question is from Jeff Spector with Bank of America. Please proceed.
Jeff Spector: Great. Thank you. Good afternoon. David, just want to tie in some of the leasing comments, the momentum you're seeing, the deals in the pipeline, the high occupancy levels to the redevelopment pipeline. And just, I guess, how are you thinking about that pipeline and the ability to increase that? Like, how are you going to satisfy some of the needs out there and continue to capture that market share maybe even more?
David Simon: Thank you, Jeff. So look, I think we have the ability to develop and redevelop because we're not -- essentially what I said earlier, we're not -- listen, we've got to be stewards of capital, we've got to be very focused but we're not capital constrained the way some others might be. And our ability to invest in our portfolio is unmatched. So we intend to do that. Now at the same time, Jeff, rates are up. Returns for us have to be up. And so you haven't seen a really big change in our 8-K redevelopment, but that takes time because a lot of the stuff was put in place. But when we build something new or we redevelop, we're going to have to do a better job of leasing and returns and to warrant that capital because just about everything we do, I mean we still want to maintain our leadership position, but just about every amount of capital we spend, I have to measure it in my own mind against buying our stock back. And, I mean our stock, as you saw we bought stock back, so our stock is pretty compelling. So we want to redevelop, we want to new develop, but we've got a high hurdle that we've got to jump over. So like we've done historically, I expect us to find the right balance between continuing and to maintain our leadership position, investing in our properties for the benefit of shareholders, communities, retailers alike, but at the same time, we've got to be economic animals. And that's what -- everybody here understands that process, and that's what we try and achieve.
Operator: Our next question is from Michael Goldsmith with UBS. Please proceed.
Michael Goldsmith: Good evening. Thanks a lot for taking my question. David, you specifically mentioned the performance of the real estate business on this call several times, which has been strong. At the same time this quarter you sold off some of SPARC. So how can you continue to refine some of the ancillary parts of the business so that the strength that we're seeing and that you're talking about on the core business can continue to shine through?
David Simon: Well, listen, it's a very good question and it's less and less of our business. As you know, it's under 5% of our earnings. You also have to understand that, when we add to the -- when we add it to our FFO, it's net income, which in many of these cases, you don't add -- well, all of these cases, you don't add back depreciation. So EBITDA and our FFO contribution are much different. Importantly, these have all been profitable endeavors. But we understand that even this small amount of earnings that we get in comparison to our total earnings power is volatile. People don't like the volatility. We'll, like we did with SPARC earlier, we're going to continue to harvest our investments over time. And as we do that, we're going to -- if you ask me today, we'll monetize things over time and we're going to buy our stock back because it's wildly accreted because let's look at it. You know what I trade at as a multiple of FFO and you know I have investment value in these investments, but they give us very little earnings because of GAAP. And if you do the math, you can see the accretion we would get on a buyback. So they're basically, I get no earnings from them, but I've got value and it's our job to get the value into cash, take the cash, buy our stock back or invest in properties and have it a bygone era of the time. But with an asterisk that said, attaboy, you made a lot of money. So that's the strategy. I hope that answers your question.
Operator: Our next question is from Floris van Dijkum with Compass Point. Please proceed.
Floris van Dijkum: Hey David. Thanks for taking my question. So I was curious on TRG. So I noticed the occupancy dipped a little bit. You essentially -- you want to, increasing your ownership by 4% by issuing some OPUs. What price was the stock issued at and what yield are you buying? What's the implied cap rate on the TRG business and how should we think about that also as it relates to other potential opportunities in the market and how much flexibility was there and then maybe I guess in terms of the timing of the next sort of puts or hurdles that you have for increasing your interest in that business going forward?
David Simon: Yeah, let me -- I'll just talk about the exchange a little bit, and then Brian can give you an idea. The occupancy is no big deal, but I'll let Brian go through that. So Taubman has the right to put their interest, their 4% interest for the next five years and it's basically at essentially appraised value. It's either a negotiation or we get appraisal firms. We decided to negotiate in good faith. We made a deal and then we issued the stock. And, I mean the reality is we're trading, Simon Property Group unequivocally is trading below appraised value. So one of the reasons we bought our stock back was, I'm not a big fan of issuing stock at this moment in time, so we'll use our capital to basically get rid of the dilution that we did issue. Now, Taubman had that right. They exercised it appropriately. We had a good faith negotiation, made a deal, and it was more or less at their appraised value. And to put it in perspective, for today's value, it's probably pretty close to where we negotiated our deal with Taubman pre-COVID and then obviously we got the COVID adjustment, but it was in that range, kind of where the deal was announced publicly. And so we're going to quarterize that dilution by buying our stock back. We started that once we made the deal. And I think the family's pretty smart. They said, Simon Property Group stock’s undervalued, and I like the dividend, and why not? So I think, I don't know what will happen next year. It could be the same thing, but at this point they have 16% left in TRG. We're happy to own 100% of TRG. I think they're happy, to do what they're doing and we'll deal with it as time goes on. But nothing can happen the rest of this year and it's sometime next year that this all recycles. So with that said, I hope that answers that, but I'll --Brian, if you want to add anything to that, please.
Brian McDade: Nothing on that, but, Floris, on your question about their occupancy, it is back 110 basis points. There were really two major spaces that they had to take out of commission that they come back online in the fourth quarter. So you will see that come back on and then some in the fourth quarter, it's just simply timing.
Floris van Dijkum: Got it. And if I may -- if you don't mind, the -- if I recall correctly after you look at my notes but the cap rate at the time that you did the deal was, it had a six handle on it. Is that the right way to think about the appraised value for TRG?
David Simon: Well, again, this was a negotiated deal. Their view of appraised value started much higher than that with all due respect for us, which you might imagine. But we settled on a deal that today, if you go back in time to -- Taubman pre-COVID would have attributed Taubman's per share number in the $51 range. So somewhere in that range, we ended up, if you remember, doing COVID at $43 a share. I will tell you that their NOI today is higher than it was in ‘19. Portfolios change here and there, so it's really hard to do an apple on apple, but at the end of the day, that gives you the sense of things. But you're not that far off. I think that's a reasonable estimate. But that kind of puts all the metrics out there. And again, not a huge deal in the scheme of things, under a couple hundred million today. So -- but it gives you a perspective of kind of that. I think they would argue the appraised value is much higher than what they exchange at, but we ultimately did not go through the appraisal process.
Floris van Dijkum: Thanks, David.
David Simon: Thank you.
Operator: Our next question is from Vince Tibone with Green Street. Please proceed.
Vince Tibone: Hi, good afternoon. So minimum base rents were about 3% year-over-year, which is about the same level as contractual bumps. So I'm just trying to get a sense of leasing spread economics here. Like, does that mean leasing spreads are also in the low single-digit range or are there other factors influencing this metric, one way or another?
David Simon: Well, I mean, I'll see if Brian will add to it. Just remember, this is the total portfolio, so to move this thing up takes a lot, right? And spreads are just a moment -- leases that come in and go out. So you can't really look at it that way. So for us to move the entire portfolio gives you a sense of leasing spreads. Now, if you look at whatever pages on the 8-K, the new -- we added some new information there on the 29 -- 21. That -- you'll see some of that -- some of these that are going in there now are driving the rent. Those numbers now include our new leases that are driving that base minimum rent up.
Brian McDade: Yes. I mean we typically only touch about 10% of our leases a year, Vince. So you got to factor that in as well. So renewals are about 10%, but the balance is our new leases, which as David said, are really driving the higher -- or contributing to the higher average base minimum rents.
Vince Tibone: But was my statement fair though, that contracts will bump for base rents still around 3% or are they lower than that, the overall portfolio?
Brian McDade: No, they're right in that range, Vince.
Vince Tibone: And then just -- is there any color you can share about renewal spreads? And I know it's hard to move the overall portfolio with 10%, but this kind of conversation means they're not too far away from the average contractual bumps. Because if they were plus 30%, to take an extreme example, we could see that in the metrics. So I'm just trying to ultimately get some more color here on renewal economics.
David Simon: Yeah. I mean, I guess, again Vince, in order to have the average base minimum rent go up for 20,000 leases, okay, of 3%, versus 10% to 15% that calculate spread, you're going to be -- mathematically going to have rent spreads that are higher than the 3%. And we'll walk you through that later, but that, just from a math point of view, there's just no way that that can drive that number up, but we'll walk you through that. So when you say that, we would say to you that's not reality because in order to drive up average base minimum rent for 20,000 leases or thereabouts, you're going to have to outperform much more than the 3% on just what's rolling over.
Vince Tibone: We can take it offline. I appreciate the time.
David Simon: Thank you.
Operator: Our next question is from Greg McGinniss with Scotiabank. Please proceed.
Greg McGinniss: Hey, good evening David and Brian. I'll keep this to 1.5 questions for you. So last quarter you spoke about potentially being more active with asset recycling or reallocating real estate capital. Have the challenges facing the financing market changed those expectations at all? Or how are you thinking about that today? And how are higher interest rates impacting your customers and tenants?
David Simon: Well, I'll take the last first. So I would say higher interest rates/inflation clearly is affecting a good portion of the consumer out there. So their affordability for -- and we're seeing this most on the consumer on what I'd call the kind of the more -- the brands that are focused on the more moderate income consumer. So there's no question that that's having some impact. But the good news is you've got employment and you've got wage growth that is counter balancing that, but they're definitely being more cautious. So that's not necessarily affecting a higher income consumer to the extent that you might otherwise think, but it's clearly affecting the lower or more moderate income consumer that they're being more cautious. And from our standpoint, from a retail point of view, demand, like I said earlier, we haven't seen it affecting retailers too much in terms of their growth plans. But we obviously monitor that every day. So from our standpoint, our cost of capital is up. So any investment we make, as I mentioned earlier, is in the -- is measured against return we would get from buying our stock back to return that we would get from redevelopment or development. And given that, that's why we haven't been active on the acquisition front. And I don't expect that to really change. In addition, we're always looking at monetizing our assets, whether it's real estate or otherwise, and to the extent that we can make the math work and we create liquidity through asset sales, the math is very compelling for us to do that to buy our stock back. And so you'll see more of that trend continue.
Greg McGinniss: Great. Thank you.
David Simon: Thank you.
Operator: Our next question is from Mike Mueller with JPMorgan. Please proceed.
Mike Mueller: Yeah. Hi, just a quick one here. I know this is a bit of a hypothetical, but do you think you would have bought stock back if you didn't issue the shares to Taubman?
David Simon: I think we would buy, I'm sorry, I think we're looking -- it's a good question, a fair question, and let me say this, the way I'm thinking about it. So to the extent that we have additional liquidity events or in the case of Taubman, dealing with the dilution of issuing stock at this price, there's no question we're going to buy our stock back. To the extent that we don't, I don't have an answer for you yet on whether we would have done it absent the TRG issuance or enhanced liquidity from asset sales. But like I said, our development pipeline, redevelopment pipeline is very much, very much measured up against the stock buyback. And every asset I've got, I don't have to own anything at this point. I'm happy to sell assets at the right price to buy our stock back. And I think you'll see more of that from us over time. And that could be real estate and/or other stuff.
Mike Mueller: Got it. Okay. And real quick, and just in case I missed this, was there any change to the OPI guidance that's embedded in your current FFO outlook?
David Simon: Yes, we've lowered it. We've lowered it. Other than the -- you understand the $0.05 because we own less of SPARC. We have lowered it for the fourth quarter by roughly guys -- for the fourth quarter it would be about $0.20.
Brian McDade: Yeah,
David Simon: Roughly $0.20 in the fourth quarter. Lower contribution -- if you look in total for the year, and our share of that is roughly -- if you take out the $0.05, we've lowered it about $0.15 cents.
Mike Mueller: Got it. Okay, thank you.
David Simon: Thank you.
Operator: Our next question is from Craig Mailman with Citigroup. Please proceed.
Nick Joseph: Thanks. It’s actually Nick Joseph here with Craig. David, you've talked a lot on the share buybacks and it sounds like in your answer to the last question, we're open to asset sales and other monetization opportunities. What are you seeing in the transaction market today in terms of those asset sales? Where are cap rates? What's the buyer pool like? Are you seeing an opportunity to try to crystallize some of that disconnect between the stock price and where you'd hope to sell an asset?
David Simon: Well look, I think domestic retail is not a lot of transactions, but we have assets throughout the world. That's one. Two is obviously we've got investments in our OPI category. But frankly, domestic assets other than maybe some of our residential stuff, hotel stuff, there's just not a lot happening. And we might see some stuff, but I think that won't be really driving kind of the activity that we would anticipate.
Nick Joseph: Thanks.
David Simon: Thank you.
Operator: Our next question is from Linda Tsai with Jefferies. Please proceed.
Linda Tsai: Hi, thanks for taking my question. About 6% of ABR is on month-to-month leasing and then 12% expiring for ‘24. How much of the month-to-month is getting converted to permanent or should that number grow? And then in terms of the 12% expiring in ‘24, what's been addressed from a renewal standpoint from where you stand today?
David Simon: Yeah, I know that there's a number of leases in ‘23 that are basically agreed to. We're just finalizing the documentation. So that's the first. And I would think that generally we're more than halfway through ‘24 right now on a kind of a negotiated, not papered basis. So, Brian, I don't know if you want to add anything to it, but that would be -- that's kind of where we are generically.
Brian McDade: And Linda, you can see the material change, Q2 over to Q3, we've cleared about 2.2 million square feet out of that category. It's just a matter of processing. We talked about it on our last call. There's just a lag effect on the processing of those leases. So we do expect that to continue.
Linda Tsai: Thank you.
Operator: Our next question is from Haendel St. Juste with Mizuho. Please proceed.
Haendel St. Juste: Hey, good evening out there. Dave, I just had a quick follow-up on the consumer retail sales line of question from earlier. I think you noted your portfolio sales were flattish during the quarter. We've heard from other sectors, storage, apartments, which seemed like the consumer hit a bit of a wall during the third quarter in September. I'm curious if you saw anything within the quarter, maybe in September of that sort? And then perhaps what your expectations in the near-term outlook for retail sales for your portfolio and the consumer as we head into the holiday season the next year? Thanks.
David Simon: Sure. Well, generally, as we said earlier in the year, we expect to be more or less flat. So that's kind of what our expectations continue to be in terms of retail -- reported retailer sales. Again, we feel pretty good about the higher income consumer. We've also got a balancing act in terms of -- some of our value-oriented centers will maybe play a more important role for our consumer today that they might not have otherwise played last couple of years. But, it's unknown. I mean, we're being extra cautious because of the -- inflation is still a little bit there, still taking a bite out of the consumer and obviously you've got rates that are beginning to filter through the economic system. So cautious, flat, we're not anticipating a downturn, but not a robust sales growth for the fourth quarter, relatively flat.
Haendel St. Juste: Got it. Appreciate that. If I could squeeze in a follow-up, I think you mentioned earlier as well that you started, I think it was [$960 million] (ph) of new redevelopment at 6% yields, and you talked about a higher hurdle rate, maybe some color on perhaps what that hurdle rate today is and where the next batch of redevelopment yields or projects would need to be and where we could see them migrate to? Thank you.
David Simon: Sure. Yeah, I think the -- it's a little bit dependent upon the real estate. So, and what we're trying to accomplish and what the benefits of that real estate are and where the market is for that. So, for instance, when we build a new residential apartment house, we look at kind of where the value and the cap rates for that are. They may be obviously lower than our own, but to the extent that we feel like we might sell it and make the arbitrage, we'll do that. Again, if we've got an asset that's a 6% cap rate, we're building to an 8%, that's creating value. On the other hand, if we have an 8% asset that we're building to a 6%, it ain't going to happen. So there's no -- we have themes. We have points of view. But just like anything else, every transaction we do, every redevelopment we do really is grounded by what we're trying to accomplish with that real estate. So -- but overall, again, like I said earlier, we've got to push it higher because, our cost of capital regardless is up across the board. So we don't have the luxury to build dilutive deals. And as you know, we've never really bought dilutive. We've never really built dilutive. And we certainly don't anticipate in doing that today. We've always had a spread to our financing and to the quality of what we built. We expect that to continue but that -- obviously those thresholds have been raised.
Haendel St. Juste: Thank you.
David Simon: Thank you.
Operator: Our final question is from Juan Sanabria with BMO Capital Markets. Please proceed.
Juan Sanabria: Saving the best for last. I love it. Thanks for the time. I'm just curious if you could comment on kind of the watch list you've commented about the consumer, but maybe what the bad debt has been here to date with the historical levels is in your perspective as you think about ‘24.
David Simon: The watch list on retailers?
Juan Sanabria: Yes sir.
David Simon: Yeah, it's relatively low. There are a couple that were there today that probably weren't there last year. Obviously I'm not going to name those. So it certainly hasn't grown all that much, but there are one or two retailers that we're paying close attention to. And I probably wouldn't have said that last year. So I think that -- I mean it's not a very good answer, but it's probably the best way to explain it without naming names. But there are a couple on that list today that didn't exist yesterday. But they're not 10 names, they're a couple. Brian, you want to add anything?
Brian McDade: No, I think that's right, David. It is certainly expanded, but by only two or three names. And it's at a relatively low point relative to history.
David Simon: Yeah, and I want to just confirm with everyone that that is, as you look at our, what page is our top tenant list on?
Brian McDade: It's on 22.
David Simon: 22? It's certainly none of the category that is in our top 10 or top 20. So -- and as you know, our department stores don't pay -- really don't pay all that much. Well, you have the rent there in terms of what they pay.
Juan Sanabria: Thank you.
David Simon: Thank you.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Mr. Simon for closing comments.
David Simon: Well, thank you, and we finished a little bit earlier. So I think, enjoy the rest of the evening.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.